Jack Garman - VP of IR:
Ian Cockerill - CEO:
Guy Young - CFO:
Djaria Traore - EVP of ESG & Supply Chain:
Richard Hatch - Berenberg:
Ovais Habib - Scotiabank:
Alain Gabriel - Morgan Stanley:
Ian Rossouw - Barclays:
Anita Soni - CIBC:
Felicity Robson - Bank of America:
Operator: Good day and thank you for standing by. Welcome to Endeavor Mining's Fourth Quarter and Full Year 2024 Results Webcast. At this time all participants are in a listen-only mode. After management's presentation, there will be a question and answer session. For those who wish to ask a question, please dial into the phone line. Please note that due to time constraints, we will be prioritizing questions from covering analysts. Today's conference call is being recorded and a transcript of the call will be available on Endeavor's website tomorrow. I'd now like to hand the call over to Endeavor's Vice President of Investor Relations, Jack Garman.
Jack Garman: Hello everyone and welcome to Endeavor's Q4 and full year 2024 results webcast. Before we start, please note our usual disclaimer. On the call today, I'm delighted to be joined by Ian Cockerill, Chief Executive Officer, Guy Young, Chief Financial Officer and Djaria Traore, Executive Vice President of Operations and ESG. Today's call will follow our usual format. Ian will first go through the highlights, Guy will present the financials and Djaria will walk you through our operating results by mine before handing back to Ian for his closing remarks. We'll then open the lineup for questions. With that, I'll now hand over to Ian.
Ian Cockerill: Thanks very much, Jack, and hello to everyone joining us on the call today. I'm proud to say that 2024 was another successful year for Endeavor, where we delivered on our strategic priorities. We produced 1.1 million ounces of gold at class-leading, all-in sustaining costs of $1,218 per ounce, while maintaining an industry-leading safety record. Our year-on-year production growth marks a positive turnaround in the group's production profile, and one that we expect to keep building on to the end of this decade. A large part of that growth is driven by the successful completion of our organic growth phase last year. The Lafigue Mine and Sabodala-Massawa, BIOX project have increased our production base, improved our portfolio quality and increased our diversification. Following this growth phase, we delivered a free cash flow inflection in Q3, generating $97 million, which we've now followed up with a record free cash flow of $268 million in Q4, bringing total free cash flow to $365 million in H2 2024. And from here, we can certainly expect free cash flow generation to continue building throughout 2025. This strong free cash flow generation helped us to quickly deleverage our balance sheet to 0.55 times net debt to EBITDA at the end of the year, and we expect to reach our long-term target of less than 0.5 times very soon. Given the record free cash flow, low leverage and strong operating outlook, we've declared a record dividend for 2024 of $240 million, which we supplemented with $37 million of share buybacks. That brings our 2024 shareholder return to a total of $277 million, or a sector-leading $251 to every ounce of gold that we produced last year. During 2025 and 2026, based on prevailing gold prices, we expect to increase shareholder returns, and as you will have seen, year-to-date we've increased our share buyback activity by 69% compared to this time last year, with over $22 million bought back so far. All things being equal, we intend to continue with this activity. Our exploration program continues to underpin our growth, and not only do we increase our group reserves by a third this year, but we also achieved our five-year resource discovery target a year early, adding 12.2 million ounces of measured and indicated resources since 2021, for a discovery cost of less than $25 per ounce. Late last year, we completed the Assafou PFS, which defined a potential Tier 1 project that we expect to continue to expand. The PFS is now well underway, and we're on track to finalize this by late 2025, early 2026. Lastly, I want to highlight our 2024 sustainability report, which was published today, which demonstrates our continued commitment to protecting our operating environment, driving socioeconomic growth within our host communities, and supporting the long-term success of our business and host countries, thus creating meaningful value. We are pleased that this work is being recognized by the external rating agencies, and we achieved an improved 17.3 low-risk rating from Sustainalytics. I'm proud to say that we are the best rated Gold producer on the Sustainalytics platform. We've improved our score every year that we've been rated. Entering 2025, we've got strong momentum from the second half of 2024, and we're well positioned with a larger, higher quality, and more diversified portfolio. We're very pleased with performance so far this year, and we'll build on this, focused on maximizing free cash flow generation from every ounce produced to support increased shareholder returns and prepare the business for its next growth phase. Moving on to Slide 7, you can see that our production increased each quarter in 2024, rising by 34% on 93,000 ounces in Q4 as our growth projects hit nameplate capacity, in addition to a particularly strong performance at Hounde, which benefited from higher grades. In Q4, we also maintained our position as one of the sector's lowest-cost producers, as our all-in sustaining costs decreased by $146 per ounce, primarily due to higher production and lower costs at Hounde, Mana, as well as Lafigue. On Slide 8, and looking at the year ahead, as we announced in January, group production is forecast to grow by up to 14% year-on-year, while our all-in sustaining costs are expected to remain stable. Importantly, following the completion of our growth projects, our total mine capital is expected to decrease by 27%, or $162 million to just $440 million in 2025. Sustaining and non-sustaining combined increased year-over-year in 2024 due to the addition of the two new growth projects, and are slightly above the expected normal run rate due to higher than average stricken ratios across the portfolio. Our stable year-over-year all-in sustaining cost profile positions us as one of the lowest-cost producers in the sector, firmly in the lowest-cost quartile. Whether measuring total cash cost, all-in sustaining cost, or all-in cost, we continue to rank among the sector's leaders, and that's where we intend to stay. As I mentioned, during 2024, we were pleased to reverse our declining production trend over the last three years on a like-for-like basis, and we're aiming to grow production by up to 14% in 2025. Then, with progressive increases in production at Sabodala-Massawa, Ity, and Mana, coupled with the introduction of Assafou in late 2028, we expect to increase production by up to 36% from 24 levels to about 1.5 million ounces by 2030. As we add low-cost production at our Lafigue, Sabodala-Massawa, BIOX and later at Assafou, coupled with optimization and productivity initiatives at our existing assets, we expect to be able to offset cost pressures associated with inflation and maintain stable costs to the end of the decade. Looking at Slide 11, we generated more than $1.3 billion in adjusted EBITDA during the year from our continuing operations. That's a 27% increase year-over-year due to the increase in production and the higher gold price. On Slide 12, you can see we generated $313 million of free cash flow in 2024, an increase of approximately $487 million year-over-year due to the increased levels of production, reduced growth CapEx, and the higher prevailing gold price. We generated $381 million in H2 '24 alone, and given that we don't expect to incur any material growth capital over the next six quarters, we anticipate generating stronger free cash flow in 2025 and going into 2026, always assuming the gold prices remain supported. On Slide 13, we show strong free cash flow in the second half of 2024 as it put our phase of delivering well underway. We have already improved leverage to 0.55 times net debt to the long-term medium of adjusted EBITDA, and we have a clear line of sight to reducing this further to at or below a 0.5 target in the near term. Guy will give you further details on our robust financial health across the group shortly. On Slide 14, and given the strong operational performance, free cash flow generation, and financial position at the end of the year, coupled with our strong outlook, we declared a record dividend of $240 million in 2024. We supplemented that with an additional $37 million worth of share buybacks, increasing total payout to $277 million. In 2025, so far, we have already completed $22 million in share buybacks, and that's a 69% increase on the corresponding period last year. Given our strong outlook, healthy balance sheet, and the prevailing gold price, we expect to continue increasing this activity. To put our 2024 returns in context, we returned $251 for every ounce we produced, and that's equivalent to a sector-leading indicative yield of just under 6%. Over the last four years, since we launched our first shareholder returns program, we've returned over 30% of our market cap at the start of the period, which is even more impressive when you consider that we simultaneously invested approximately $750 million in our two organic growth projects. We track our returns on a per-ounce basis to ensure that as we grow the business organically, we are preserving our margins and hence our ability to deliver increasingly attractive returns. And our dollar-per-ounce return is sector-leading, and we're well-positioned to increase returns and grow production. A key component of our future organic growth is Assafou, which we're seeing here on the following slide. We were delighted with the results of the PFS study late last year, which outlined a 330,000 ounce per-year project at an all-in sustaining cost below $900 an ounce over its first 10 years of production and having an initial 15-year mine life. Assafou boasts really attractive economics, including a $2.5 billion NPV and a robust 40% IRR at $2,500 per ounce gold price. We continue to explore in close proximity to the project, where we expect that we will add additional resources in the near term. The PFS and permitting process is tracking well for completion between late 2025 and early 2026. On Slide 17, you can see that with 2.2 million ounces of measured and indicated resource discovered in 2024, we were pleased to achieve a 12 million to 17-million-ounce five-year discovery target a year early, discovering 12.9 million ounces since 2021 for less than $25 per ounce. I think this underscores our ability to not only sustain our operations, but to extend mine lives and add new greenfield projects such like Assafou. For 2025, we've committed $75 million to exploration and we'll focus our exploration efforts on near mine opportunities at our core operations, as well as continued exploration at Assafou and the targets in close proximity to Assafou. On Slide 19, you'll see some of the highlights from our 2024 sustainability report, which we also published today. On the environmental side, we achieved a sector-leading low emission intensity of 0.63 tons of CO2 equivalent per ounce produced. And we expect to continue to improve our emissions as we recently commissioned at Sabodala-Massawa solar plant. On the social side, we continue to be a pillar for economic growth in our host countries, delivering $2.2 billion in economic contribution and spending $1.4 billion on in-country suppliers. On the governance side, I'm happy to declare that we've achieved ISO 45001 and ISO 14001 certification now at all of our sites. I think this really reflects our strong commitment to reporting and transparency at our operations. A continued improvement is being recognized by the Climate Disclosure Project, who've given us an improved B rating, and Sustainalytics, who've given us a low-risk rating of 17.3, positioning us as the best-rated gold mining company on their books. Now, with that introduction, let me hand you over to Guy, who'll take you through the details of the financial results. Guy, over to you.
Guy Young: Thanks, Ian. I'd now like to walk you through our financial results for the quarter. As Ian mentioned, we delivered our strongest quarter of operational performance in Q4. This, along with a strong gold price, drove record EBITDA and significantly stronger cash flows. If we look at Slide 22, you can see the significant increase in our adjusted EBITDA generation, which increased 72% in Q4 due to higher production at lower costs and higher realized gold prices. Importantly, our EBITDA margin grew by 13 percentage points, as our cost improvement was coupled with an approximate $250 per ounce increase in realized gold prices. The stronger quarterly EBITDA coupled with seasonally lower taxes led to significant improvement in our operating cash flow, as you can see on Slide 23. We generated $381 million in operating cash flow, which, if you adjust for the one-off $150 million prepayment settlement, would be $531 million, a 111% improvement quarter-on-quarter. This really underscores the strong operating cash flow that the business can generate from its higher production base following the completion of the growth projects and in this gold price environment. Turning to Slide 24, the breakdown of the increase in operating cash flows is as follows. The realized gold price, inclusive of realized losses on gold hedges, increased by $248 per ounce in Q4, contributing to an $88 million increase in operating cash flow over Q3. Additionally, gold sold from continuing operations increased by 76,000 ounces to 356,000 ounces in Q4, driving an additional $178 million in operating cash flows. These increases were partially offset by an increase in operating and other expenses of $202 million, reflecting both higher royalties from increased gold sales and prices, as well as an increase in mining and processing costs following the ramp-up of the two growth projects. Income taxes paid decreased by $48 million to $17 million, mainly due to the timing of income tax payments of Ity and the timing of withholding tax payments across the group, which typically occur in Q2 and Q3. Lastly, the decrease in working capital inflow was driven by an increase in trade payables, an outflow in trade receivables, and partially offset by an outflow of inventories, prepaid expenses, and other items. Altogether, we delivered $126 million in additional operating cash flow quarter-on-quarter. Following the completion of our growth phase in Q3, our free cash flow generation increased significantly. We generated a quarterly record of $268 million of free cash flow, which, if adjusted for the one-off prepayment, is equivalent to $418 million of free cash flow. Again, this highlights the free cash flow generation capacity of our improved portfolio. We've now delivered on the free cash flow inflection, and we expect to continue to generate strong, positive free cash flow to support our deleveraging and increased shareholder returns. On Slide 26, you can see that given the strong cash flow generation, we decreased our net debt by more than $100 million in Q4 to $732 million, and we reduced our leverage to 0.55 times net debt to adjust the EBITDA. We've quickly deleveraged from the peak of 0.81 times to 0.55 times in six months, and we expect to achieve our leverage target of 0.5 times within the next few months, positioning our balance sheet well to enable us to deliver attractive shareholder returns not just in the next few years, but through the Assafou construction phase as well. Walking through the change in net debt, operating activities generated $352 million in operating cash flow before changes in working capital, along with $25 million of working capital inflow. Investing activities included $43 million in sustaining capital, $59 million in non-sustaining capital, and $24 million in growth capital, which were partially offset by $15 million in proceeds from the disposal of Boungou and Wahgnion. We received a further $10 million after quarter end, with now the remaining $10 million outstanding that's expected to be received in the near term. Finally, financing activities included $100 million in dividends paid to shareholders, and $52 million in financing fee payments, minority dividend payments of $7 million, and share buybacks of $7 million, amongst some other items. Moving lastly to our net earnings from continuing operations, as shown on Slide 27, our adjusted net earnings increased 50% quarter over quarter to $0.45 per share in Q4. I'd like to walk through a few key items on the income statement. The group recognized a $200 million non-cash impairment related primarily to the Kalana property in Mali, as we deprioritized the development of a large-scale project in Mali, as well as the Golden Hill permit in Burkina Faso, where the permit remains under renewal. Gains on financial instruments in Q4 '24 were driven by an unrealized gain of $35 million on our gold collars and forward sales, due to the timing around mark-to-market, amongst other items, which were partially offset by a realized loss of $10 million on gold collars and forward sales. Increased current income tax expense of $109 million in Q4 was largely due to the recognition of increased tax expenses due to higher taxable earnings at the operating site level. Lastly, deferred income tax expense, $93 million in the fourth quarter, results primarily from increased withholding taxes expected in 2025. And this is associated with expected dividends at higher gold prices and foreign exchange losses from the re-evaluation of deferred taxes carried forward from 2023. We have included a slide in the appendix showing expected cash tax payments for 2025 and by quarter, which although subject to some assumptions, provides an indication of expected timings of payments for the year 2025. With that, I'd like to hand over to Djaria to walk you through our operating performance.
Djaria Traore: Thank you, Guy. Starting with our continuous strong safety performance, we had zero lost time injury in Q4. However, our trailing lost time injury frequency rate increased slightly due to a decrease in total hours worked as a result of ramping down construction activities. Looking at the full year 2024, our lost time injury frequency rate stands at 0.13, which is significantly lower than the industry average of 1.12. This continuous safety performance is a statement to our strong safety culture, but we recognize there's always more we can do. And our goal is to eliminate all serious injuries and incidents. Slide 30. The full year 2024 exploration program was primarily focused on resource to reserve conversion across the group existing operations, as well as the highly prospective Verse Est deposit. You'll see on Slide 30, our impressive reserve growth in 2024, which increased by 32% or 4.5 million ounces to 18.4 million ounces. This was largely due to three things. The maiden reserve at Assafou, a 52% increase of 1.2 million ounces at Ity, which is due to the model optimizations of the Ity donuts. And third, the gold -- the increased gold price assumptions from 1300 to 1500 per ounce. In simple terms, the group reserve increase represents about three times our annual production depletion and highlight the high prospectivity of the region. Resource decreased slightly by 2% as the increase at Ity and the change in resource gold price assumptions from 1500 to 1900 per ounce was largely offset by depletion and the removal of Golden Hill near Hounde, where the permit is pending renewal, as well as Fobiri near Mana, where we have given up the permit due to lower prospectivity. For 2025, our exploration program will prioritize near mine resources to support and improve our mine plans. On Slide 31, you can see an overview of our portfolio, recent and forecasted performance. As Ian mentioned earlier, given the new project in 2024, we reversed the portfolio production decline, adding high-quality ounces and increasing our diversification. This year, we expect to grow production at Sabodala-Massawa, Lafigue, and Mana, with slight decrease from report levels at Ity and Hounde. On cost, we expect lower total cash costs, benefiting from improved power costs and increased production. All in sustaining costs are expected to be stable across. Now turning to mine-by-mine performance, starting with Sabodala-Massawa on Slide 32. 2024 was a challenging year at Sabodala-Massawa, due to low availability of high-quality ore for the CIL plant, impacting recovery and grade. But this was also coupled with mining and processing of more transitional refractory ore during the BIOX ramp-up, which has also impacted the recovery. We were pleased, however, to deliver a 30% production increase in quarter four, as mining grade increased in both non-refractory and refractory ore. This was partially offset by lower recovery at both plants, largely due to plant shutdown for the connections of the solar plants to the side grid. Looking ahead to 2025, given the increased focus on grid-controlled drilling last year and the acceleration of mining through the transitional zone at Massawa Central, we have significantly increased confidence in the outlook. We expect to increase production by up to 22% as the BIOX plant delivers a full production and nameplate capacity, a recovery rate increase in both plants. At the same time, we are advancing our technical review, and this includes quantifying the high grid non-refractory oxide target that we have identified and to be incorporated into our near-term mine plan, and increasing throughput of the BIOX plant by 10% to 15% through productivity improvement and also plant optimizations. We expect to have better visibility by mid-year and also to start incorporating some of this oxide into our H2 performance. Longer term, we expect to grow production up to 350,000 ounces by year 2027, as we continue to increase throughput in the BIOX plant and also aim to increase grades in the CIL plant with the acceleration of the Golouma and Kerekounda underground deposits into our mine plan. Slide 33 with Hounde. Quarter four was a standout performance at Hounde, as we mined and processed high-grid ore from the Kari Pump Pit, driving a significant 47% increase in production quarter on quarter, which was in line with the mine plan. Meanwhile, all-in-sustaining cost decline benefiting from the higher grade and significantly higher volume of gold sold. Looking ahead to 2025, in the first quarter, we have continued to mine and process high-grade ore from Kari Pump Pit, but we do expect this high-grade to moderate through the year, resulting in lower year-on-year production, but stable all-in sustaining cost. Now moving to Ity, on Slide 34, where we deliver record production again in 2024. Since we built the CIL plant in 2018, we have been able to grow gold production every year through plant optimizations that have been underpinned by our exploration success, a true testament to our approach to operational excellence. All-in sustaining cost rose slightly due to higher mining unit cost, increased sustaining capital expenditure, and higher royalty cost as a result of high gold prices. For 2025, Ity is expected to moderate its production due to slightly lower grades in mine plan, with all-in sustaining cost increasing slightly due to increased capitalized stripping in the mine sequence. As I mentioned earlier, the significant 52% increase in reserve around the Ity donut this year provides the opportunity again to extend the mine life significantly and optimize cost with a larger and more efficient operation. To Mana, as you can see on Slide 35, Mana's production increased by over 30% from Q3 to Q4, which is driven by significant improvement in grade and throughput as the development rate and stopping activity increased in quarter four. All-in sustaining cost decreased due to higher production and gold sales and lower underground mining costs, though this was partially offset by an increase in sustaining capital as development advanced into ore. Since we started the underground expansion at Mana in 2023, we have successfully grown production year on year, and we expect the same in 2025 now that we have access to high-grade underground stope at CU and also across all three portals at Bordeaux [ph]. All-in sustaining costs are expected to decrease year on year, but we still have work to do. We're focused on improving underground mining rates and optimizing our contractor relationships to help improve efficiencies. Finally, turning to our fifth and newest mine, Lafigue on Slide 36. We were delighted to achieve commercial production on August 1, 2024, and we've been rapidly ramping up since then, achieving nameplate capacity during quarter three of last year. Outside of our scheduled maintenance in quarter four, we were 5% above nameplate capacity, which demonstrated again the potential for even stronger throughput going forward. Looking ahead to 2025, we expect production at Lafigue to increase significantly as a result of a full-year production, while all-in sustaining costs are expected to increase slightly in line with our mine plan. This concludes my operating review, and I will hand back to Ian for his closing remarks.
Ian Cockerill: Thanks very much, Djaria. Now, it's clear that we're bringing strong momentum from the second half of 2024 into 2025, and that group's performance has been very strong so far in this current year. Before we open the line for questions, I just wanted to highlight the strong value creation proposition of our business on a per ounce basis. Over the last 10 years, we've added over 21 million ounces of measured and indicated resource at less than $25 an ounce, and that includes the two cornerstone greenfield discoveries, both Lafigue as well as Assafou. This high-quality organic growth underpins our class-leading margins. We realized a significant all-in sustaining margin of $1,131 per ounce, which has helped to drive significant free cash flows to the group in the second half of 2024. Importantly, we're returning this cash to our shareholders, and we delivered $251 for every ounce that we've produced in 2024. As we organically grow production and maintain stable costs, we expect to generate even more value for shareholders in the year ahead. And with that, let me conclude, and let me now open the line for any questions.
Operator: [Operator Instructions] And the first question comes from the line of Richard Hatch from Berenberg. Please go ahead, your line is now open.
Richard Hatch : Thanks very much, team. Much appreciated, and congrats for a good set of numbers and the free cash flow. That's really good to see. I've got a few questions. The first one is just on shareholder returns. Ian, Guy, you talked to the fact that you've bought back 66 million of your shares in '23, 99 million in '22. You started the year quite strongly. Have you got a handle on what we should be thinking about in terms of buybacks? And is H2 or the H1 results at the time to announce some form of additional supplemental returns, i.e. in the form of a top-up dividend or a special? Or do you think that buybacks are going to be the main driver of shareholder returns this year on top of your already stated dividends? That’s the first one, please.
Ian Cockerill: Richard, I think you already know that this year we've already pre-declared what I call the press dividend, the press cash dividend of $225 million. Obviously, we will stand behind that. Then we have the additional potential for the supplemental cash as well as buybacks. I think what the market should expect this year, particularly bearing in mind our strong performance as well as everything else, is that the accelerated rate of buybacks gives you an indication that we are very much in favor of buybacks. We will do that on the basis that we see that it satisfies our return criteria that we've always had. It forms part of the general capital management of the group. But I think the indication that we've already given of an increased rate of buybacks already in this year is likely to continue for some time. In terms of definitively talking about what will happen, that will come out of any Board discussion that we have in the middle of the year. It's too early to give anything definitive for the middle of the year.
Richard Hatch: Okay, helpful. Thank you. Second one. Guy, thanks so much for the tax guidance, cash tax guidance. Super helpful. Just a question. I know you're running it at $2,600 gold. Obviously, the gold price is $2,900. So have you got a sensitivity by any chance as to what that cash tax could look like if we move it to $2,900? Also bearing in mind, I guess there's a bit of forward payment, right?
Guy Young: Yes. So the piece that you're focusing on, I think, is the important one. That is the corporate income tax in the numbers that we've provided are effectively fixed because they are '24 tax that is expected to be paid into 2025. The variable portion is that withholding tax piece, which in the appendix, you will have seen we've estimated is at 80 to 90. You could be adding around $10 million to that withholding tax for every $200 an ounce. What I would just suggest is do not allow it to flow through too quickly because we do this not just from a gold price perspective, but we're also looking at cash balances on site. There is a fairly significant lead time between our planning for these dividends, getting it through local boards and AGMs, and having them approved before fully remitting. So the likelihood of these moving in line with gold prices should not be anticipated. The most likely scenarios we're going to be in and around the numbers that we've provided you already.
Richard Hatch: Okay. Super helpful. Thanks. Two more, sorry. One's just for Djaria. Djaria, you'd mentioned about getting Sabodala and Massawa back up to $350, which is, I don't think, in that many of the market's models. Can you just help us with just on a couple of points on that? Is that running the BIOX at 1.2 at 5grams? Is it the CIL at 4.6 million tonnes at anywhere between 1.5g to 2g? Is that how we should be thinking about it?
Djaria Traore: Thank you, Richard, for the question. Obviously, I think as we discussed when we were in site by site, there are a few initiatives that we were looking at. But really the two important ones that we're currently focusing on is really increasing the throughput through the BIOX plan. What we plan for this year is an increase between 10% and 15%. That's the first one that we're going to be focusing on. The other thing that we realized this year, as you've seen when we were on site, we're now mining through the transition in Massawa Central Zone. So in terms of grade and recovery, we are much better placed than we were before. For the non-reparatory, we do have different options that will also be coming in line to 2025. The guidance that we put out there, we're pretty comfortable with it. All the different initiatives would only just come as an upside to the numbers.
Richard Hatch: Okay, very clear. Sorry, last one. I have to ask it just on Mana. Congrats on a good operational cost performance, but it's still, guidance-wise, still 30% plus above your midpoint of your group range. What is the long-term achievable target here? And, or, does this mine still deserve to be in the group? I suspect the answer is yes, but just an update on your thoughts on Mana.
Djaria Traore: Again, thank you. Obviously, as I mentioned in my -- we have talked about earlier, I think we do have some work to do at Mana. We do have some initiatives that definitely we're looking at. One of them, as we mentioned earlier, is really to work very closely with our contractor sites. Now, we're getting into a point whereby we can select one. So, the few efficiency initiatives that we're looking at, one of them is, of course, to look at how the current all-plants design that we have, which we'll be designing. That's one initiative that should help us to bring our cost down. We're also looking at automation of the plant with [indiscernible] work that, as well, will bring us some really needed improvements in the current cost. But I think, above all, it's really into our mining plan. As we said last time, we've done a lot of development last year. We're not comfortable with the access of higher drilling to our stope, and that definitely was helping to bring in our cost down as well.
Richard Hatch: Okay. Very helpful. Thank you, team. Congrats.
Operator: Thank you. We will now go to our next question. Please stand by. And the next question comes from the line of Ovais Habib from Scotiabank. Please go ahead. Your line is now open.
Ovais Habib : Thanks, operator. Hi, Ian and Endeavour team. Congrats on a solid Q4. Really great to see the free cash flow coming in. That was almost $270 million in free cash flow in Q4. So, congrats on that. Just a couple of questions for me. Maybe start off with Sabodala. Again, when we were there at site, you were talking about really looking for additional non-refractory kind of resources. I think we've talked about Mamasoto, Sekoto. Are those deposits already being drilled? And is there plans to kind of bring those into the feed to the CIL plant in the near term?
Djaria Traore: Thank you for that. Good to hear you. Yes, I think some of the targets that we've identified last year, we've been on especially Mamasoto, which is now being modeled to reserve. So, we're supposed to have some good results in the coming near term. The other deposit that definitely I'm not sure if we've discussed it when we were on site is around [indiscernible], where we now start mining again. I think we started last year, then we stopped it. We've done additional grid control, additional holes, and PFSC will come in line in this March and throughout the rest of the year. Those two are really non-refractory, higher-grade to put into the CIL plant.
Ovais Habib: Thanks, Djaria. Thanks for the color on that. And then just kind of sticking to that, I mean you -- we also talked about Golouma. That was more the underground target. I think there was Kerekounda. In terms of bringing those into the mine plan in 2026, is there an opportunity to bring those forward as well, or should we just think of them as more 2026?
Djaria Traore: Yes, we're still on Golouma and Kerekounda. We are in the phase of scoping. I think currently what we're looking at is probably the back end of 2026 so that it can start having an impact. It's really going to be around 2027. Anywhere that we can fast-track, we will fast-track with the team. Currently, realistically, we're not looking at least until the end of 2026.
Ovais Habib: Okay, thanks for that. Just congrats on the Sabodala team on commissioning the solar plant. What are you expecting in terms of per-ounce savings on the cost from the solar plant? I'm guessing most of those savings will start kicking in in the second half?
Djaria Traore: Yes. As you know, we started the commissioning late last year. It is really well-progressing. We're almost at the end of it. We've already injected some power into the grid, which is really fantastic. In terms of cost, we plan about 20% to 30% reduction on power cost. I'm sure we can get back to you exactly -- Jack will get back to you on what that translates into impact on our earnings.
Ovais Habib: Sounds good. Just moving on to Assafou, again, the cutoff for the PFS in terms of drilling was, I believe, somewhere in October 2023. 70,000 meters have been drilled since then. You're looking to drill about 120,000 meters in 2025. Are those 120,000 meters step-out drilling? Is it more complementary drilling? Any color on that would be helpful as well.
Ian Cockerill: You're quite right. The cutoff date for the study was at the end of 2023. The additional drilling that has been done post that cutoff period, some of it was, you'll recall last year, we did actually increase the strike length of the pit by about 30%. And then coming to this year, a lot of the drilling is -- we're going to do a reasonably close-spaced, almost like grade control, drill standard, just to confirm what we're likely to get in the initial phases of mining the pit, just to give us a little bit more confidence at just the early stages. It's clearly quite critical. That's the general sense of what we're trying to achieve there.
Ovais Habib: Okay. Thanks so much. I'm guessing we're just going to get results on that, or is this going to be one kind of comprehensive release at the end of the year?
Ian Cockerill: Yes. Look, I mean the intention, once we do the study on the ounces that we've already defined, in parallel to the release of the definitive feasibility study, we will produce an updated resource statement. So you can see that side-by-side. You will see the impact of the additional drilling, although it may not be included in the DFS study, principally because at 4.1 million ounces already, there's more than enough for us to define the right size of plant. Also, the plant is being designed and configured in such a way that we will anticipate a potential increase in its capacity over its life. We'll build it and design it in such a way that expansion is relatively straightforward and we're not going to be unduly confined in our ability to make that expansion quite successfully.
Ovais Habib: Thanks for that, color, Ian. And just last question for me, I promise. At Ity, you guys started talking about the Ity Donut concept. Q4 was focused on that front. It's already starting to show potential to increase mine life. Are you looking to release any sort of update on the mine plan incorporating the Ity Donut?
Ian Cockerill: Yes. Look, I mean, we've clearly defined that we don't have discrete ore pots. We have continuous ore. We've got a much better handle on that now, hence the concept of the Ity Donut. Throughout this year, we'll be busy specifically with a study that says, right, what's the best way to exploit this donut? You know that the Ity site is a fairly constrained site, so the logistics of dumping waste and what have you, it's not quite as straightforward as it would be perhaps on a more open site, but that study will take place this year. Once we've completed that, then obviously we'll be publishing it.
Ovais Habib: Thanks for that, Ian. That's all from me and congrats on a solid Q4.
Operator: Thank you. We will now go to our next question. Please stand by. The next question comes from Alain Gabriel from Morgan Stanley. Please go ahead. Your line is now open.
Alain Gabriel: Yes, thank you for taking my question. I just have one. It's on the mining tax codes. So, Senegal and Cote d'Ivoire have both been relatively stable jurisdictions to operate with more or less mining-friendly tax codes. Are there any potential changes coming up? We know of the Cote d'Ivoire changes. Can you give us an update on your conversations with the government if it's developing in line with what you've expected or if there's any potential surprises there? On Senegal, how should we think about any conversations you may have with the government and your mining tax codes? Thank you.
Ian Cockerill: Hi, Alain. At this stage, we continue to have reasonably good interactions with both Senegalese and the Cote d'Ivoire governments. Our primary contact remains through the Chamber of Mines. We think that that is not just appropriate, that's what the government is expecting, and it helps them to understand where we are as producers and the likely impact of any changes of those codes to our business and probably more importantly, in terms of our attitude for future investments. Having said that, I think the natural trend within West Africa is clear. Host nations are looking to try and establish revised sets of profit sharing, so the inevitable pressure is always going to be against us. However, having said that, because our interactions have been relatively positive, we do believe that we are being listened to. In each of the jurisdictions, we do have stabilization clauses that are part and parcel of that conversation. At this point in time, we do not have a clear idea as to when any of the changes may be enacted, but we don't see it being in the very short term. At this stage, we continue to have those conversations and engagement remains positive.
Alain Gabriel: Thank you very much. Thank you.
Operator: Thank you. We will now take our next question. Please stand by. The next question comes in the line of Ian Rossouw from Barclays. Please go ahead. Your line is now open.
Ian Rossouw: Hi, everyone. A couple of questions for me. Firstly, just on Sabodala-Massawa, you mentioned the drop in recovery at both the BIOX and CIL plant. It sounds like some of that was related to the solar tie-ins. Could you give us a sense of what we should expect over the course of 2025, sort of a quarterly progression? Obviously, the overall production profile and cost profile was very skewed to the second half and much lower cost. Just trying to get a sense, how should we expect that for 2025 for Sabodala-Massawa, but maybe overall, it seems like you're starting with high grades and then that's going to fall over the course of the year. Thank you.
Djaria Traore: Thank you, Ian, for the question. Obviously, for Sabodala, for the BIOX, what we plan is starting around 70% at the beginning of the year and then throughout the year, really ramping up. If you look at the full-year average, we are probably in the mid-75% to 76% that we're expecting from the BIOX. As for the whole plant, which we'll call the CIL plant, we are on the range of 80% 85%. So, that's really for Sabodala. The question around Hounde, this is planned. So, the high grade that you're referring to is really from Kari Pump. This is how we plan it, so that we will finish mining Kari Pump by the end of this quarter, early quarter two. We are doing additional grade control for drilling within the Kari Pump. We're expecting the results to be coming in as well by mid Q2. If we have some positive one, then we'll continue mining there. Kari Pump has been great. I mean, we can't complain. So, the drop that you've mentioned, it is planned as it will be replaced by Kari West, though Kari West doesn't have that super high grade that we've seen at Kari Pump, but we're pretty comfortable with the mining plan around Kari West as well.
Ian Rossouw: Thanks. Maybe just to follow up, in terms of the overall production, what should we get a sense for the split first half, second half for the group?
Djaria Traore: For the group, we have in each one, I think, the way we have planned it so far is pretty stable. We are talking about 300 quarter on quarter, which will then bring us to what we are at the guidance. So, if you then need to combine quarter two, so you're talking about 600 ounces per inch.
Ian Rossouw: Okay, perfect. And then just a final question, just on Assafou, just to follow up on the previous question around additional drilling and the DFS, you're looking to finish this year or early next year. I mean, if you obviously find a lot more resources and from the site visit, that was quite clear. I mean, where do you -- I guess, at what stage do you decide to increase the size of the plant? You mentioned in response to the earlier question that you will look to expand the plant over time, but just from a mining perspective, the thinking is always bigger is better, but obviously then there will be a much higher CapEx core up front. So, just trying to get a sense of how you think about that and what's the risk of that sort of $734 million CapEx going up a lot more initially?
Ian Cockerill: Yes, great question. Obviously, a pre-feasibility study is the time where you look at the what-ifs and you look at various sizes and based upon the resource outline that we had then, we looked at various sizes, anywhere between sort of 4 and 8 million tons per year and what are the implications of that and which profile or which level of throughput did we believe we had the greatest confidence in being able to have sort of a sustainable production profile. And what came out there, based on what the pit has currently defined, the 5 million ton a year plant seemed to give us the best return. Traditionally, in our group, we have always produced a plant that, given time, we de-bottleneck, we squeeze it, we tweak it, we put minimum amount of CapEx in and we certainly find ourselves anywhere between sort of 20% and sometimes up to 50% greater throughput. It probably says something about the degree of latitude that we have in our designs, but not sort of untypical. Looking at it, looking at the various options that we had, looking at the state of confidence in satellite deposits that could add to the production base, my gut feel tells me at the moment that we'll stick at around the 5 million ton. It seems to be the best option for us. It gives us time to properly engineer, to sign off the satellite deposits, and I would see them forming part of the natural sort of organic increase that would take place over the first sort of three to five years of that plant. Once we get used to operating it, we'll squeeze it and we'll take it further. So, what's the probability of going outside the 5-million-ton current proposed capacity for Assafou? I would say it's actually quite low. I think you can be reasonably comfortable that is the size of plant that we will be going with.
Ian Rossouw: Okay, great. Thank you.
Operator: Thank you. We will now take our next question. Please stand by. The next question comes from Anita Soni from CIBC. Please go ahead, your line is now open.
Anita Soni : Good morning, everyone. Thanks for taking my questions. I'm going to drill down a little bit more onto Sabodala-Massawa. I just wanted to understand, you said, I think Djaria said it was about 75% to 76% percent recovery rates expected on average for this year in the BIOX. Can you tell us, with the quarter nearly complete, what are you averaging in recovery rates right now? I'm assuming at this point, the solar tie-in is all complete, and it should be running without any starts and stops at this point?
Djaria Traore: Thank you for the question. Yes, so just to confirm and clarify, that's exactly what I said, that in average for the full year, we're talking about 75%. So, if we looked at what we've seen so far this year, it's actually what we planned, which is that low 70%, but we've seen month-on-month improvements into that, which is again exactly as we planned it. So, the 75% average that we're putting for the year, we're pretty comfortable with that. Yes, we are nearly. Yes?
Anita Soni: Sorry, you said, I just wanted to clarify, you said low, you're currently low 70s right now?
Djaria Traore: Correct, absolutely, as we planned. Because again, to start it and then to ramp up towards the end of the year. So, but we are within the 70s currently, as we plan it.
Anita Soni: Okay, and then how do you see that evolving in 2026 as well?
Djaria Traore: 2027, you mentioned?
Anita Soni: 2026?
Djaria Traore: Again, it will improve year-on-year. We expect 2026 to be in the 80s and then it will improve as we go.
Anita Soni: Ultimately, are you going to hit that 87.7 recovery rate? Is that still the target?
Djaria Traore: Ultimately, it is the target. It is the goal.
Anita Soni: All right, and then can we just talk about the grades from the BIOX? I think, you know, I'm just looking back at the technical report and I'm not sure how applicable that is, but it was supposed to be, you know, well north of about 7, like in the 7 gram-per-ton material range this year. Is that not the case anymore or has that been modified? I think you just delivered four-gram-per-ton material in the past quarter.
Djaria Traore: Yes, I believe you are referring to the DFS where we listed around 7-gram. No, we're not near the 7-gram, and I think we've already talked about that last year, last quarter, that technically it will be difficult for us to be around that 7-gram. However, what we think is an improvement quarter-on-quarter from where we were last year to where we are today. If you refer back to even the quarter-fourth last year, 43, we're experiencing the mining around the transitional zone, the tarnished zone, which we presented. We've already mined through that. We're now currently in about 70% 80% fresh, good fresh, where we're seeing an increase in the recovery. The grade, however, as I mentioned, we will not be around the 7-gram. What we will do is to increase it quarter-on-quarter. I've mentioned earlier that we started a technical review. We will have some good results by mid-year, which we'll also be sharing as soon as they're available. With 87-gram, probably not. Are we doing everything possible to have good grade absolutely. That's what we're doing, but we're not near the 7-gram.
Anita Soni: Thank you. And then just moving to the CIL, I'm just trying to understand the evolution of the two components as we go into 2026. Obviously, the guide for 2025 was lower than what was previously anticipated. I get the 2027 350 that you're targeting, but I'm just trying to understand what 2026 looks like at this stage. So on the CIL side of the equation, we are also below on recovery rates. You guys are targeting higher grade or higher quality ore. What would be the recovery rates if you were -- what's your best-case scenario on recovery rates at the CIL in 2026?
Djaria Traore: Yes. In the CIL, I'm not sure again what exactly you're referring to, but we are in the mid-80s, higher 80s. It will increase by 2026. We expect to be in the 90s for the CIL plant.
Anita Soni: Okay. That's it for my questions. Thank you.
Operator: Thank you. We will now take our next question. Please stand by. And the next question comes from Felicity Robson from Bank of America. Please go ahead, your line is now open.
Felicity Robson: Thank you for taking my question. You have a resource discovery program targeted until 2025. Can you give us some color on where your focus lies this year in adding resources, and will the focus change looking towards the more medium-term?
Ian Cockerill: Felicity, thanks. I think as I said in the talk, the main focus is going to be in and around the existing mines, with a particular emphasis around Assafou. This is the area that we at the moment see has got the greatest level of prospectivity. That, for us, is very important. Also, we're going to start seeing, over the next few years, an increased focus on existing mine site reserve expansion, conversion from resource to reserves. In terms of greenfields, it predominantly will be in and around Cote d'Ivoire. That's where the main focus will be. Obviously, Sabodala, we think there's lots of potential around that area, particularly in the southern portion of the mining permit. But predominantly around existing mines, because we think that's where we've got at the moment the highest probability of success.
Felicity Robson: Okay, thank you.
Operator: Thank you. As there are no further questions, I would like to hand back to Jack Garman for any closing remarks.
Jack Garman: Thank you very much, everyone, for listening.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.